Operator: Thank you for standing by. This is the conference operator. Welcome to the OneSpaWorld First Quarter 2021 Earnings Conference Call.  And the conference is being recorded.   I would now like to turn the conference over to Allison Malkin of ICR for opening remarks. Please go ahead.
Allison Malkin: Thank you. Good morning, and welcome to OneSpaWorld's first quarter 2021 earnings call and webcast. Before we begin, I'd like to remind you that certain statements and information made available on today's call and webcast may be deemed to constitute forward-looking statements. The COVID-19 pandemic continues to have a significant impact on our operations, cash flow and financial position. The uncertain and dynamic nature of current conditions and its ongoing impacts could materially alter our outlook. These forward-looking statements reflect our judgment and analysis only as of today, and actual results may differ materially from current expectations based on a number of factors affecting our business. Accordingly, you should not place undue reliance on these forward-looking statements.
Leonard Fluxman: Thank you, Allison. Good morning, and welcome to OneSpaWorld's First Quarter 2021 Results Conference Call. As the travel and tourism industry has begun to reopen, we are ready, we are eager, and we are excited to welcome guests to our health and wellness centers and deliver our extraordinary OneSpaWorld guest experiences. We have invested aggressively for 14 months in protecting our people, sustaining our operations, enhancing our competitive position and comprehensive protocols to ensure a safe and successful return to service, while taking actions to maintain strong liquidity. The dedication of our team throughout this unprecedented pandemic positions us to flawlessly execute our resumption of operations aboard the first 33 expected ships scheduled to resume sailing by the end of July. Our onboard operating protocols are complete, and our onboard staff is fully trained. We are operating health and wellness centers aboard 3 of our 160 cruise line vessels that have commenced voyages. We have opened our spas in 47 of our 53 destination resorts, realizing revenue and stock utilization in line with our expectations and with operating metrics increasing sequentially month-over-month. These initial returns confirm that we are positioned toughly to capitalize on the strength of our team, operating platform and business model to drive long-term profitable growth as cruise ship and destination resort operations fully resume. During the quarter, we prioritized activities to ensure a successful return to service and maintain strong liquidity with the first quarter, making strong progress on both fronts, including continuing to focus on elevating our practices, including previously mentioned digital training, the implementation of guidelines for protection and sanitization, culture and standards, as well as expansion of our service offering and technology. We are implementing these initiatives with the focus on flawless delivery to the additional 31 ships expected to return by the end of July. Accordingly, our initiatives have shifted from creating and stress-testing in anticipation of return to service, to going live, providing feedback and making enhancements to our processes. Each of our initiatives optimizes our effectiveness, focuses on cost efficiencies and ensures a flawless return to service.
Stephen Lazarus: Thank you, Leonard, and good morning, ladies and gentlemen. While the first quarter, as you know, continued to be impacted by the global pandemic's impact on the travel and tourism industry, we remain intently focused on preserving our liquidity as well as investing in innovation and training our staff as we prepare our operations for a return to service. I will now share just a few of the first quarter 2021 highlights rather than provide a full overview of our quarterly results, given the continued significant impact that the global COVID-19 pandemic has had on our operations. For the first quarter, total revenues were $5.6 million compared to $114.3 million in the first quarter last year. Revenues generated in this year's first quarter were primarily related to the 47 destination resort spas that were opened during the quarter and e-commerce product sales through our timetospa.com website.
Operator:  The first question comes from Steven Wieczynski with Stifel.
Steven Wieczynski: Yes. So I understand the cash burn is going to look something like $15 million for the second quarter. And for the most part, you still won't have any type of material maritime operations in the second quarter as well. But as you look out to the third quarter, and let's say you get those 30-ish ships back in somewhat operation, just trying to understand what your cash burn would look like under that type of scenario. Meaning would you guys actually be cash flow positive with that number of ships in service? Or would you still need a higher level of ships?
Stephen Lazarus: Steve, we do not anticipate, currently, with that number of ships that we would be cash flow positive in the third quarter. We do expect, though, based upon what we're seeing and with regards to anticipated incremental sailings in the fourth quarter that, by the end of the year, we would start to be cash positive, but we're not anticipating it this time. Although we certainly don't expect to be at a cash burn rate of $15 million, we do not expect to be cash flow positive in Q3.
Steven Wieczynski: Okay. Got you. And then second question would be around just maybe what you guys are seeing at this point in terms of spend levels, both at your land-based spas and then the 2 ships that actually are in service today. Just trying to understand how those spend levels look, and if they're as strong as what we're seeing across other consumer verticals that we track.
Leonard Fluxman: Yes. I mean the demand has actually -- I mean what we have is limited data, Steve. So it's 2 ships, but certainly, the ship is very . We're seeing strong demand and higher spend despite the lower occupancies, and that's happening in the resorts as well. So we're actually starting to increase our staffing levels at some of the resorts right now because of the demand, which we can't keep up with. So we started out with lower staffing in some of the resorts. But last week, taking a look at demand, we will be increasing it gradually just because we need -- we just need more of this. There's so much demand out there. We're actually seeing very decent retail spend in resorts, higher than we've seen historically. So there's a good attachment rate as well.
Steven Wieczynski: And last question, just to follow-up on that. And for the land-based operations that you have today, are you guys capacity constrained? Meaning that whatever jurisdiction you're operating in, you can't operate at full capacity?
Leonard Fluxman: We are not presently under those conditions anywhere right now. And that's why we're starting to look at hiring back more and more of our staff in those locations.
Operator: The next question comes from Sharon Zackfia with William Blair.
Sharon Zackfia: I want to apologize my cell phone dropped. So if I asked something that was in the prepared commentary, it's AT&T's fault, not mine. I guess a question on bookings. Are you seeing, for the maritime operations, any change in kind of pre-booking levels? Are customers kind of more eager than they were pre-pandemic to kind of get these things on the books for when they do eventually sail?
Leonard Fluxman: On the prebooking side, Sharon, we still don't have visibility from the cruise lines yet. I mean the only thing we're seeing is obviously high demand, pent-up demand, obviously, from a cruise ticket perspective. But the pre-open booking are on the back end right now. As they start to confirm passenger accounts for each of the sailings, the bookings will start to flow in. We expect that to happen imminently.
Sharon Zackfia: Okay. And then I think there was some conversation in the prepared commentary about metrics kind of improving sequentially each month. I mean how would you -- how does revenue per staff for land-based kind of compare now versus pre-pandemic?
Leonard Fluxman: So we really look at it on a revenue per staff basis like we look at sea. We really look at this sort of revenue per occupied group. And that's certainly, in some cases, better than it was pre-pandemic. But that's also a function of occupancies at the resorts themselves. So as the resorts start to fill up, the revenue per occupied room will probably come back down a little bit. But right now, that metric in itself is outpacing pre-pandemic levels.
Sharon Zackfia: Okay. And then I know you talked about the staff, that you're going to be kind of getting ready to go on board soon. What is staffing levels going to look like on ships relative to pre-pandemic? I mean are you going to be fully staffed? I know you mentioned that, land-based, you started off a bit lower and now you're staffing up. I'm just curious what the staffing is going to look like on the ships.
Leonard Fluxman: So I think if we take a look at what's -- certainly in Singapore, we've started off -- obviously, their occupancies have been sub-50%. And so when I look at the size of the ship, it's about 1/3 of -- maybe even less than 1/3 of the full team size. But that, too, as we start to see occupancies go up, we will start increasing the team size to probably at least half on that ship.
Sharon Zackfia: That's helpful. And then, Stephen, I know you said that you're hopeful to be cash flow positive towards the end of the year. I mean what is your line of sight right now on how many ships do you think will be sailing by the fourth quarter?
Stephen Lazarus: We do have, from the ongoing meetings, constant meetings, honestly, that we have with the cruise lines, some line of sight with regards to when they expect to launch their vessels. I think we'll probably be remiss of me to state that number at this point in time because it's not definitive. Suffice it to say that we certainly expect that the number of vessels sailing by year-end to be significantly more than the number of vessels that we think will be sailing at by the end of July.
Operator: The next question comes from Stephanie Wissink with Jefferies.
Sebastian Barbero: Team, it's Seb Barbero for Steph Wissink. A couple of questions from me, please. The first one is, any learnings from the resort spas that's influencing how you reshape your service menu on board as you prepare to reopen?
Leonard Fluxman: Could you just repeat that? I didn't hear the first part of it.
Sebastian Barbero: Yes. Are you -- any learnings from the resort spas, those have been, the 47 that are now operating, that's influencing how you reshape your service menu on board as you prepare to reopen?
Leonard Fluxman: They're very different models, first of all, in terms of the offerings that we have available. Just -- I think we mentioned this before that it's interesting to see that even though we have contactless services, the demand for the normal sort of basic facials and other services, massage inclusive, body services. There's a much higher demand for just the legacy type services, both on land and certainly from what we're seeing from cruise ships. So even though we have the same menus in terms of contactless type of services available, demand is still there for traditional services.
Sebastian Barbero: And any anticipated changes in ship count from here into year-end? And any visibility into what the portfolio will look like in 2022?
Leonard Fluxman: Look, I think if we take a look at what we're hearing from the cruise lines and what we've heard from some of the presentations made by management, I think there is going to be a much faster scaling into the fourth quarter of ships all over the world on a global basis. So we're anticipating that most of the 160 ships that we will be on will be in service by the first quarter of 2022.
Sebastian Barbero: Okay. And your -- just talking specifically about your portfolio. You ended Q1 at 159. How should we think that will look at the end of 2021? And then any visibility to how that will look in 2022?
Stephen Lazarus: So we do expect that by the end of 2022, there will be an additional 24 new vessels that are added to the various fleets. And with regards to how it's going to look at the end of 2021, I think it's a little premature for us to be -- have certainty around that number because, again, it's highly dependent on when the cruise lines will return to service, and particularly when they return to service with North American sailings, depending on how they progress with the CDC.
Operator:  The next question comes from Assia Georgieva with Infinity Research.
Assia Georgieva: A couple of quick questions. First of all, different cruise brands in the corporate entities are tackling the vaccination requirement somewhat differently. Would you expect to ask your crew to be fully vaccinated? And you mentioned that 97% of your existing crew were totally willing to be vaccinated. Is that something that you envision will be a requirement for your crew?
Leonard Fluxman: So certainly, if you look at the CDC's requirements for 98% of the crew to be vaccinated and 95% of the passengers to be vaccinated, we have seen extensive amounts of work already being done by the cruise lines who have announced sailings, and they've started to vaccinate the crew already. So a lot of the banners are doing the vaccinations right now. And we certainly saw the WHO approve one of the Chinese vaccinations for the folks in the Philippines, so they'll be using that. So to the extent that they can show proof of vaccination, that is satisfactory to the cruise line, then they will certainly not have to be revaccinated. But we see just an enormous pent-up demand from our staff to return, and most of them want -- will get vaccinated, whether it's done by the cruise line or whether they'll accept vaccinations, because there are different vaccines out there, obviously, that are preferred banner-by-banner. But most of the cruise lines right now that we have been talking to are doing the vaccinations themselves for the crew so that they can all pass the CDC requirements and threshold.
Assia Georgieva: And Leonard, would that include your crew?
Leonard Fluxman: Yes. Yes, absolutely.
Assia Georgieva: So the cruise lines would actually be willing to provide vaccinations. I know in Port Canaveral, they've actually opened up, which I think is a great idea, within the port, the vaccination site for crew members. So that would cover your crew, you would not have the responsibility and the organizational issues relating to that?
Leonard Fluxman: Well, most of them, certainly, the big banners here, thus far, are doing the vaccinations. In the case of one of the banners, they even bring the ship back to Miami so they can get everybody vaccinated here because that particular jurisdiction didn't have access to the vaccines. And given the way the U.S. government has controlled vaccination distribution, not every single -- not all the ports that ships are going to sail from the Caribbean have access to vaccines. So where that is not available, those ships will come back here. At least we've seen 1 or 2 of them already, and they've undertaken the same extent of vaccinations that they're doing in Port Canaveral. So they are moving rapidly, some a little faster than others, but those are the ones that are going first.
Assia Georgieva: Sometimes, I wish I was a good crew member because I've been fighting to get a vaccine. I did get the first shot. And a completely separate question. Maybe, Stephen, you can help me out on this one. In terms of land-based resorts, so you have 47, pretty much the vast majority are open. They are below breakeven at this point because of occupancy? Or what is the model going forward, let's say, in 2022?
Stephen Lazarus: So by way of clarification, in the -- towards the end of the first quarter, that division was actually not losing money. It was EBITDA positive. So they're already at a point where we're starting to see positive cash flow generation from the resorts that are open.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Leonard Fluxman, Executive Chairman, for any closing remarks.
Leonard Fluxman: Well, thank you all for joining us on this call. I just want to mention, which we didn't mention, was we actually had some very successful contract extensions during the first quarter, which we didn't put in the press release, one, because we just can't. But the Disney contract was renewed for an additional 8 years. And we were successfully awarded the new Cunard contract. Although we don't have an executed contract right now, we did get that awarded, and that's actually a market share addition, and we'll be awarded a 3-year contract. So we're very excited about market expansion in the first quarter, and we continue to look at some other opportunities as well. So the future looks brighter than it ever did before. And hopefully, we'll have more to share with you and talk with you on our second quarter call. Thank you for joining us today.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.